Operator: Good morning, and welcome to Townsquare's Second Quarter 2022 Conference Call. As a reminder, today's call is being recorded, and your participation implies consent to do such recording. [Operator Instructions] With that, I would like to introduce the first speaker for today's call, Claire Yenicay, Executive Vice President. Thank you. You may begin your presentation at this time.
Claire Yenicay: Thank you, operator, and good morning to everyone. Thank you for joining us today for Townsquare's second quarter financial update. With me on the call today are Bill Wilson, our CEO; and Stuart Rosenstein, our CFO and Executive Vice President.  Please note that during this call, we may make statements that provide information other than historical information, including statements related to the company's future expectations, plans and prospects. These statements are considered forward-looking statements under the safe harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties that could cause actual results to differ materially from these statements. These statements reflect the company's beliefs based on current conditions that are subject to certain risks and uncertainties, including those that are detailed in the company's annual report on Form 10-K filed with the SEC. You may also discuss certain non-GAAP financial measures, including adjusted EBITDA, adjusted net income and adjusted operating income, which we may refer to as profit in our remarks. Such non-GAAP financial measures should be used in conjunction with all the information contained in the quarterly, year-end and current reports available on our website. I would also encourage all participants to go to our corporate website and download our investor presentation, as Bill will reference some of those slides during our discussion this morning. At this time, I would like to turn the call over to Bill Wilson.
Bill Wilson: Thank you, Claire. Thank you all for joining us. My goal on this morning's call, in addition to sharing our record-setting Q2 results and strong outlook is to clearly distinguish Townsquare from others in the local media and radio broadcasting industries. Because quite simply, Townsquare is very different today and most importantly, moving forward from the rest. As our country could currently be in a recession based on the first half of the year GDP data released last week, or if one believes our country may potentially enter a recession over the coming months or quarters, it is important to remember that Townsquare is a digital-first local media company focused exclusively on markets outside of the top 50. Approximately 50% of our revenue comes from digital solutions, which historically performed better during a downturn than Broadcast Advertising, and approximately 40% of that digital revenue is nonadvertising-based digital subscription revenue, which Townsquare grew even during the worst of COVID. Another key differentiator, not only are we focused on markets outside of the top 50, but we selectively pick markets with stabilizing institutions such as State Capital's 4-year universities and Army bases, which have lower unemployment rates compared to national averages and economies less susceptible to recession shocks. Additionally, because we are not in large markets, the majority, over 90% of our advertising revenue is local advertising, which historically has been less volatile than national advertising, particularly economic downturn. Overall, we believe that we are very well positioned to perform during a downturn or recession, no matter the duration and severity, a belief, which is supported by our 2020 performance during the worst of COVID. We are encouraged by our strong record-setting second quarter results and the increased guidance that we will be issuing today for Q3 and for the full year. Today, we are also reaffirming our expectation that Townsquare will deliver record-setting best-ever profits in 2022. Our second quarter financial results reflect strong revenue and profit growth. And as a result, we set an all-time record high for both revenue and adjusted EBITDA. As outlined on Slide 19 in the investor deck, these results exceeded our second quarter revenue guidance and met our second quarter EBITDA guidance. The Townsquare team is very proud of our Q2 results, which clearly demonstrate the strength and differentiation we have in our digital businesses as well as in our legacy cash cow broadcast business. Second quarter net revenue increased a very strong plus 14% year-over-year to $121.9 million, above our guidance range of $117 million to $121 million. Second quarter adjusted EBITDA increased plus 7% year-over-year to $32.4 million within our guidance range of $32 million to $33 million. Digital revenue growth actually accelerated in Q2 from plus 16% year-over-year in the first quarter to plus 21% year-over-year in the second quarter. Q2 digital profit increased plus 11% year-over-year, with Q2 profit margin of 30%, slightly better than Q1's digital profit margin of 29%. In total, 50% of our June year-to-date revenue and 50% of our June year-to-date profit came from our digital businesses. Let me repeat that as it is a clear differentiator for our company and was also a meaningful driver of our performance during the last recession. 50% of our June year-to-date profit came from our digital solutions for local businesses. During the COVID-19 recession, our digital business held up remarkably well as did the overall digital industry. Townsquare's digital advertising revenue declined for only 1 quarter during the initial shutdown of the economy in Q2 2020 and return to growth by Q3 2020. Likewise, according to S&P Global estimates, Digital Advertising increased plus 15% in the United States in 2020, a helpful tailwind to have at our backs and then -- and one 1 that can be expected to continue. Townsquare Interactive, our Digital Marketing Solutions subscription business grew revenue profit and subscribers during every quarter of 2020, demonstrating its resilience to a downturn and its vital importance to local businesses in our markets. Our digital business was a key reason that during the COVID-19 recession, our company's total adjusted EBITDA returned to growth at the end of 2020. And in 2021, we delivered all-time high EBITDA and have continued to set new revenue and profit records in Q1 2022 and again this quarter in Q2 2022. I share these data points to highlight that although it is unclear if a recession is going to occur over the coming year, if one were to occur, Townsquare is very well positioned to navigate a recession and returned to record-setting revenue and profit post the potential recession as we demonstrated quite well in 2021. Now I'm going to provide detailed results of our digital platform as a reminder of the extremely valuable and quite differentiated digital assets and businesses we have at Townsquare. Our Digital Advertising segment market externally as Townsquare Ignite is presented on Slide 15. In the second quarter, Digital Advertising net revenue increased a very strong plus 25% year-over-year. And Digital Advertising profit increased 12% year-over-year with a 30% profit margin. Even given all the macro concerns in Q2, our Q2 Digital Advertising revenue growth actually accelerated from Q1 with strength in all 3 months of the quarter. Additionally, based on our current pacing, we expect strong digital advertising revenue growth to continue in the third quarter. On a trailing 12-month basis, as of June 30, we generated $129 million of Digital Advertising net revenue and $39 million of Digital Advertising profit, which will to a 30% profit margin. A key component of our Digital Advertising success is the significant audience that we reach and the high-quality local and relevant content we produce curated to our local audiences. With the closing of our Cherry Creek acquisition at the end of Q2, our Digital Advertising portfolio includes now over 400 local and national news and entertainment websites and mobile apps that generate over 60 million monthly unique visitors and have over 40 million followers across social platforms and have generated over 3.5 billion lifetime views across our YouTube platform. Townsquare is one of the largest producers of local content in the United States, importantly, filling a news and information void that exists in small markets across the United States due to the decline of local news providers. In addition, another key component of our success and differentiation is our organically built digital programmatic advertising platform that has access to more than 250 billion impressions per day and our proprietary data management platform with rich and valuable first-party data with over 15 million user profiles. We use this incredibly valuable first-party data collected from our own audience for advertising on both our owned and operated brands and our digital programmatic solutions. Being a large at-scale publisher with first-party data is a significant, significant competitive advantage in digital advertising, especially in the programmatic business as we are able to more effectively target our customers' desired and valuable audience. Although we believe it is unlikely that cookies will be eliminated entirely, any limit on cookies or third-party tracking will make publisher own first-party data like ours even more critical for successful digital advertising campaigns, another benefit for Townsquare. On Slides 12 through 14, we highlight the additional valuable component of our digital business, which is Townsquare Interactive, our subscription digital marketing solutions business. With a monthly recurring subscription-based model that generates a substantial profit, this business is a significant differentiator for us versus other local media companies and provides a resilient subscription growth vehicle in good or bad economic environments. Since we organically developed and launched Townsquare Interactive in 2012, its subscription revenue has grown double digits versus the prior year, each and every quarter, even during COVID recession of 2020. And since reaching profitability in 2014, subscription profit has grown each and every quarter as well. In the second quarter of this year, our consistent and strong growth continued. Townsquare Interractive's Q2 subscription revenue increased plus 14% year-over-year, and subscription profit increased plus 10% year-over-year, and we added approximately 1,150 net subscribers in the quarter. On a trailing 12-month basis, as of June 30, Townsquare Interactive had $87 million of subscription revenue and $25 million of subscription profit, a 29% profit margin. We have identified a huge addressable market, which we have outlined on Slide 13 of nearly 9 million target customers across the United States. With approximately 29,000 subscribers at the end of the second quarter, we have significant, significant runway ahead of us. I'm pleased to announce that in June, we signed a lease for our second Townsquare Interractive location in Phoenix. As we've discussed previously, this is an important component of our Townsquare Interactive growth plan as it will greatly enhance our recruiting universe and allow us to access the West Coast talent pool, while still growing our employee base on the East Coast. To date, we have hired over 20 employees for our West Coast location. And in 2022, we have added over 50 employees to our Charlotte location, which now is home to over 700 Townsquare team members. The new space in Phoenix is currently being built out, and we expect to physically move into the new location in March of 2023. While we build out the new office space, we are arranging for temp space for our existing West Coast employees to work out of, which should be ready by Labor Day. As we have previously stated, we are confident that we will be able to scale and operate the second location at strong profit margins, given our experience of launching and operating our Townsquare Interactive location in Charlotte. As a reminder and as highlighted on Slide 29, our entire digital platform was developed organically by our own very, very talented product design and engineering team. This team is one of Townsquare's key strengths and allows us to retain a competitive edge. The fact that our digital products and solutions are developed, manage and continuously refined in-house and are not outsourced is a significant, significant competitive advantage that grants us the ability to fully control the customer experience from point of sale to execution and reporting, which also enhances our customer satisfaction and therefore, customer retention. Importantly, these solutions in-house also enhances our digital profit margins. In total, we expect and we reaffirm that our digital revenue will grow from $216 million of digital revenue on a trailing 12-month basis as of June 30 to a minimum of $275 million of digital revenue by 2024. On a trailing 12-month basis, our digital profit was $65 million, representing a 30% profit margin. It is our strong belief that our digital platform is not appropriately valued for its growth and margin profile as we train in line are in with radio broadcasters who are not digital-first companies, lack differentiated digital businesses and have far less digital revenue and profit. This was 1 factor that led us to resegment the business at the end of last year. It is our expectation that given this more detailed information, Townsquare will, over time, get credit and value being a digital-first local media company and we will be afforded a sum of the parts valuation that gives credit to our digital assets and strong digital profit. That being said, we continue to love our cash cow local broadcast business. With the closing of the Cherry Creek acquisition in the second half of June, we now own 357 local radio stations across 74 markets and importantly, all outside of the top 50 markets. We view local radio as an extremely valuable asset with significant and attractive cash flow properties, unparalleled consumer reach and important and trusted local connection to our audience and communities and thus a key component of our multi-platform diverse local media business. We also view radio as a mature cash cow business and not our primary growth driver. In the second quarter, our Broadcast Advertising increased plus 1% with continued strong headwinds from the auto industry overcome by strength in a number of categories, including entertainment, contracting, construction and political. We expect auto headwinds to continue as we do not anticipate auto advertising to recover until at the earliest sometime in 2023 and potentially not until 2024. I am aware there has been a lot of concern about an advertising slowdown and articles recently referencing Standard Media Index reporting a 3% ad spend decline in June versus prior year. For Townsquare, we actually saw strength in June with advertising office 9% over prior year. Additionally, specifically in Broadcast, June was also stronger than May, consistent with what we also experienced with Digital Advertising as well with June being stronger than May. These are additional and important data points that demonstrate our differentiation. Our radio platform is symbiotic with our digital platform. Our digital solutions benefit our radio solutions and our radio platform and strong audience reach supercharge our digital solutions. It is because of this and our digital first local media strategy that we believe the Cherry Creek acquisition was a great use of capital. We are pleased that we are able to close this acquisition a bit earlier than expected, and the integration is going extremely well. We are bringing our large-scale, sophisticated digital platform solutions and expertise to the Cherry Creek markets, and expect to significantly increase the digital revenue and margin profiles to match ours over the coming years. With their heritage, strong local brands, many of which are #1 in their format, combined with their strong and talented local teams, we are confident that we will have a long-term stable broadcast base from which to inject our digital growth engine. Now I'll turn the call over to Stu, who will go through our very strong year-to-date results and provide our increased Q3 and full year outlook for everyone. Stu, take it away.
Stuart Rosenstein: Thank you, Bill, and good morning, everyone. I hope everyone has been enjoying this summer so far. We started this year with strong first quarter financial results and had strength accelerated in our second quarter, with growth across all of our segments. Second quarter net revenue increased strongly, growing 13.6% over the prior year period to $121.9 million, above our guidance range of $117 million to $120 million. At $121.9 million of revenue, this is the highest quarterly revenue we have ever achieved. In the June year-to-date period, net revenue increased 13.3% year-over-year. As Bill mentioned, we closed the Cherry Creek Radio station acquisition on June 17,. So our second quarter and year-to-date results include less than 2 weeks of contribution from the acquired assets, which is an immaterial amount. Political revenue picked up some steam in the second quarter, coming in at $1.5 million ahead of Q2 2018's $1.3 million. Through the first half of the year, we have generated $1.9 million of political revenue or 94% of 2018's political spend through the first half of that year. As we all know, the majority of political spending occurs in the fourth quarter, and we still believe that political revenue for 2022 has the potential to exceed 2018's political revenue of $10 million. Second quarter adjusted EBITDA increased 6.8% year-over-year to $32.4 million. That's within our guidance range of $32 million to $33 million. And just like revenue, $32.4 million of EBITDA is the highest quarterly EBITDA Townsquare has ever achieved. In the first 6 months of the year, adjusted EBITDA increased 8% year-over-year. Excluding the impact of political revenue, adjusted EBITDA increased 4.8% in the second quarter and 6.9% in the year-to-date period. Our subscription Digital Marketing Solutions segment again delivered another consistently strong quarter of net revenue, profit and subscriber growth. In the second quarter, net revenue increased 13.7% as compared to the prior year, supported by the addition of 1,150 net subscribers. Townsquare Interactive second quarter profit increased 9.8% year-over-year to $6.7 million at a 29% profit margin. In the year-to-date period, net revenue increased 14.3% and profit increased 8.6% as compared to the prior year, and we added 2,200 net subscribers. Our Digital Advertising segment was the largest driver of growth in the second quarter and the year-to-date periods with net revenue increasing 5.4% in Q2 and 21.4% year-to-date. Digital Advertising profit increased 11.8% in Q2 and 12.4% year-to-date. This business operated at a 30% margin in Q2 and 29% year-to-date. In total, digital revenues composed of our subscription Digital Marketing Solutions segment and our digital advertising segment increased year-over-year by 20.7% in the second quarter and 18.4% in the first 6 months of the year. In total, digital revenue represented 50% of our total net revenue and total profit through the first half of the year. At $216 million of revenue for the trailing 12 months ended June 30, we are well on our way to our goal of generating a minimum of $275 million of digital revenue in 2024. Even with the increased internal investment to leverage the market opportunity and our differentiated digital solutions, we expect our digital margins to continue to be in the high 20% range. Broadcast Advertising net revenue increased 1% in the second quarter and 4% year-to-date as compared to the prior year. Broadcast profit margins improved to 34% in Q2 and were approximately 30% in the first 6 months of the year. Our other category, which is comprised of Live Events activity, had its largest quarter in 3 years with $4.8 million of revenue and $874,000 of profit at a margin of 18%. Although a significant improvement, Q2 Live Events revenue was still only 90% of Q2 2019's revenue, and we expect to remain 2019 levels for the remainder of this year. As a reminder, Live Events are not a material part of our business nor a growth vehicle for our company, but rather act as a profitable marketing arm of the company, providing yet another way for us to connect with our audience and communities and allow advertisers to do the same. In a normal operating year, Live Events revenue and profits will be less than 5% of our total company's revenue and profit. Second quarter net income decreased $5.2 million to $4.9 million or $0.24 per diluted share as compared to $10.1 million or $0.50 per diluted share in the second quarter of 2021. Adjusted net income, which excludes one-off items and as detailed in the schedule to our earnings release, was $13.2 million or $0.71 per diluted share for the second quarter of 2022, as compared to $10 million or $0.53 per diluted share in the prior year period. In the first 6 of the year, net income increased $3.7 million year-over-year. We'd like to remind you that any benefit or provision for income taxes included on the face of the income statement is for GAAP financial statement purposes only. We maintained significant tax attributes, including more than $100 million of federal NOL carryforwards and other substantial tax yields related to the tax amortization of our intangible assets. We continue to believe that we will not be a material cash taxpayer until approximately the year 2026. In the first 6 months of 2022, we generated positive cash flow from operations of approximately $23 million, which was an $8.1 million decrease from the prior year period. This was entirely due to the timing of our interest payments. At this time last year, we had only $7 million of interest payments as compared to $19.5 million in current year. Prior to interest payments, we generated positive cash flow from operations of $42.5 million, a $4.2 million increase from the prior year period. In the second quarter, we closed on the $18.75 million acquisition of Cherry Creek, and we repurchased and retired $19.2 million of our bonds at or below par, ending the second quarter with $22.8 million of cash and $530.8 million of total debt. Based on the trailing 12-month adjusted EBITDA of $109.1 million as of June 30, our net leverage has declined to 4.65x. Our primary capital allocation priority after internal investment to grow our digital business is to reduce net leverage to approximately 4x. We believe this is achievable at the end of this year. Although the Board has authorized a $50 million 3-year stock repurchase program, and we sincerely believe our stock is valued today, our priority is to reduce net leverage in the near term. We will continue to invest in our business in order to drive revenue and profit growth, which is reflected in our EBITDA guidance. Turning to our third quarter outlook. We expect third quarter net revenue to increase and be between $120 million and $127 million, which represents growth of 8% to 14% over the prior year. We expect third quarter adjusted EBITDA to be between $30 million and $32 million. That's a year-over-year increase of 3% to 10%. Importantly, this guidance represents all-time highs for Q3 revenue and Q3 EBITDA. For the full year 2022, we're raising our net revenue and adjusted EBITDA guidance as a result of the continued strength in our business as demonstrated by our Q2 results and our Q3 outlook and the Cherry Creek acquisition. Our increased revenue guidance is now $465 million to $480 million, representing a year-over-year increase of 11% to 15% and would set an all-time high revenue record. Our increased adjusted EBITDA guidance is now $116 million to $121 million, which is a year-over-year increase of 10% to 15% and would also be an all-time high adjusted EBITDA record. And with that, I will now turn the call back over to Bill.
Bill Wilson: Thank you, Stu, and thank you to everyone who joined us this morning. We greatly appreciate it. I am proud to share our strong performance in Q2 and the first half of the year, and I am incredibly optimistic about our long-term future. Our digital platform contributing 50% of our revenue and profit today continues to distinguish our company with its steady profitable growth and subscription characteristics. With at least $275 million digital revenue expected by 2024, we expect our consistently strong digitally fueled growth to continue. Due to our competitive strengths, our strong cash generation and with net leverage down to 4.65x today and declining towards 4x by the year-end, we believe Townsquare is very well positioned to face any negative headwinds that may or may not arrive; and if they do, we will come out the other end even stronger just like we did through the COVID recession. As always, I'm extremely proud of our and our hard work, which is clearly the driving force behind our strong financial performance. As we say internally, how high is high. Thanks again to all, and please do not hesitate to reach out if you have any more questions about Townsquare. Operator, at this time, please open the line for any and all questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Kupinski with Noble Capital Markets.
Michael Kupinski: Congratulations on your strong quarter. I was just wondering if you can talk a little bit about what you might be hearing from your advertisers, particularly on the broadcast side and maybe on the digital side as well, just in terms of what are their concerns? What are you seeing in terms of -- just what are you hearing so close to your advertising community.
Bill Wilson: Thank you, Michael. It's Bill. Good morning. Good to hear from you. I think as we noted on the script to date, we haven't seen any meaningful impact or advertising pullback. And June was actually stronger than May. Obviously, consumer spending continues to be strong. Manufacturing data released yesterday, continues to be strong. So in our view, much uncertainty almost when the war broke out earlier in the year, late Q1 -- and then all the talk about inflation and high gas prices, we saw more hesitancy from our advertisers in terms of just discussions because it was a little bit more unknown and I think potentially a little murkier at that point. And then we saw June actually accelerate and every month in the quarter get better. So right now, we're feeling quite good. Obviously, local broadcast is pacing up nicely for Q3 and Q4. For the rest of the year, we -- our digital advertising, which was up 25% in Q2. We continue to see strength in Q3 as well. And obviously, our revenue guide of 8% to 14% growth demonstrates that in our revenue guide for the year being up 11% to 15%. So there's definitely education and discussion with advertisers like there always is. But with the consumer spending being as strong as it is, our advertising business as well as our overall business for the Q3 and the back half of the year is looking quite nice. And I think that's probably a testament to our continued and consistent strength in digital. One of the things we noted on the call as well is even in the last recession, digital advertising grew 15%. So obviously, we've been treating our broadcast business for a few years now as a mature cash cow business. As we noted on our end of '21 year update, we pretty much returned to broadcast levels of 2019 outside of auto, national and some supply chain impacted categories like furniture stores and appliance stores. So I think as we go forward, our comps and broadcast are quite different than maybe others in the industry who have yet to return to those 2019 levels. And obviously, with 50% of our profits being digital and 50% of our revenue being digital. Even if a downturn were to occur, that segment has grown, and we're quite differentiated and well positioned to continue to grow in a downturn digitally, even if the one was to occur, and I think we've proven that throughout 2020 and into 2021. So from an advertiser standpoint, we are hearing less concerned today than earlier. But again, we're prepared for anything. We're not in rose-colored glasses at, feeling quite good as we sit here a month into Q3.
Michael Kupinski: And Bill, how many of your -- just going back to your -- the comments about the cookies, how many of your advertisers use first-party data for your programmatic business versus what you would use for third-party data?
Bill Wilson: So almost all of our owned and operated and programmatic in some way, leverage our own first-party data across the board. That doesn't mean we won't also append third-party data programmatically because we will. But it is a clear differentiator for us. It allows us much greater insights into target customer for them. And that's really tied to the fact that I think we hadn't noted on today's call, but as you know, Michael, we reached 70%, 7 0 percent of the adult population through our digital platform in the markets that we operate in. So I think it's safe to say, we know more about the audiences that we're operating in and the communities and really anyone else be it TV or newspaper. So we bring that differentiation and competitive edge to our customer base. Not only that, but given we have our own data management platform that we're collecting first-party data for customers coming to our mobile apps and websites, we actually allow that capability for advertisers. So we will put tracking code on an advertiser site to allow them to collect first-party data that we manage for them. So I think it continues to demonstrate and hopefully, our Q2 digital advertising being up 25% demonstrate we are clearly differentiated in digital advertising in the markets outside the top 50, and we continue to see continued strength there. And we're quite confident over time, more and more people will recognize that diversification and differentiation of Townsquare.
Michael Kupinski: And final question. As you say, you're differentiated from a lot of your radio peers, how much of your broadcast revenue comes from national?
Bill Wilson: So our overall national revenue is roughly 7% of our total revenue. So it is a small part. National, as I'm sure everybody is aware, did slow down in Q2. We actually started the year with National in Q1 delivered increases in Q1. In Q2, we were down in national broadcast advertising and the back half of the year is pacing down on national advertising as well. But as I noted in response to your first question, our local broadcast is pacing up for Q3 and Q4. And given it's such a small part of our company, in general, it has a slight impact, but not a material impact.
Michael Kupinski: Yes. It's well below that of the industry averages. And congratulations on your quarter.
Bill Wilson: Thank you, Mike. I think the other point outside of our digital differentiation is we are the only local media company principally focused on markets outside the not just radio company, but if you think about newspapers, television, outdoor, Townsquare is the only company truly focused on markets outside the top 50. So I think that's -- that's one of the reasons in 2020, 2021, and as I think we sit here today, you're going to see quite different results and strategy moving forward for us than maybe others in local media.
Operator: Our next question comes from the line of Jim Goss with Barrington Research.
Jim Goss: I've got a couple also. First, you made a point that you're one of the largest producers of local content in the absence of the same type of presence for newspapers these days. Are there any other monetization opportunities you are sensing might exist in this area, where you can take advantage of that local content? Or is it just embellishing the existing radio business as it stands?
Bill Wilson: So we -- our Digital Advertising on our own that operated is quite strong. It's in line with our programmatic. So if we grew digital advertising 25% in Q2, our owned and operated monetization of that audience as well as our programmatic was roughly equal in Q2. So that's definitely a big driver as we continue to grow, not only audience but importantly, with a 70% penetration of adults in these markets that, as I've shared historically on this call. It really are news deserts. I mean it's kind of scary as an American that some of these markets are so underserved from a we do it as almost a north star for us in community mission to serve that. So we do quite well in monetizing that. I think a piece of your question is, are there other ways you think you can monetize that moving forward more aggressively than maybe we are today, that is -- it's a very astute question because we're looking more and more into newsletters for these local markets and monetization of newsletters as well as affiliate fees where we're offering other products that aren't advertising based, but provide an affiliate fee where we don't take inventory risk. So given our large outscale digital audience and new communities, there are future opportunities to monetize them in addition to our strength in digital advertising today.
Jim Goss: Okay. One other -- one of your slides, you had a -- you had like SiriusXM and Spotify and with Big Red slash through it, saying that they don't have the same presence in your markets, yet I suspect there is significant usage of any of those types of service in your existing markets. I'm just wondering if you might distinguish between their usage and the ad competition.
Bill Wilson: Yes. No, great question. And just for those who are listening, Jim is referring to Slide 8 of our investor deck. And we really talk about a more attractive competitive landscape in these markets outside the top 50 that is one of the contributing sites to our differentiated results. So there is actually data showing that SiriusXM is used in markets outside the top 50 less than in the market -- in the top 50. But I think the broader point here for all research and our perspective is things like Spotify and Pandora or YouTube or Apple Music, that, in essence, replaces what historically was records, CDs, whatever your age demographic is and what you affiliate with. And then there is definitely a use But I think the key key point, Jim, is there was no local sales force in our markets of our size for XM or Spotify or Apple or Pandora. So a, we have such strength in listenership in terms of -- even our AMF, I talked about the 70% penetration with our digital platforms and our markets. But just looking at our AM/FM broadcast, in our markets, 50% on average, 5 0 of the adult population listens to one of our AM/FM stations on a weekly basis. So to be able to walk into a local advertiser, which, as you know, from a broadcast perspective, is 90-plus percent of our business is -- and say by advertising on one of our radio stations or our collection of our radio stations, you're going to reach 1 in 2 adults who live here, that is incredibly powerful. And obviously, we have one of the largest local sales teams in each of the markets we operate in and usually larger than newspapers, larger than outdoor, larger than television stations, where SiriusXM, Spotify and so forth, do not have really any salespeople in our market. So the combination of our market share of listenership and audience penetration with the strength of our amazing sales teams in our local markets where people like XM don't have any local salespeople is a clear differentiator for us. So hopefully, that speaks to your question.
Jim Goss: Yes. And a couple of others, Cherry Creek acquisition. I wonder if you could talk about a little bit more about it as sort of a template for other radio acquisitions. And I wonder if you can outline the expected time frame for the transformation of that business to take advantage of the other opportunities become more of your growth priorities?
Bill Wilson: Yes. No, I think it's great. We couldn't be more excited with the acquisition. I think I shared on the last call, I visited each of the market spend time with the teams and just incredibly impressed with the talent of our teams that we acquired in terms of the people, the strength of the brands, they are quintessential Townsquare brands and team members. What they lacked and that's one of the driving forces of the acquisition was strength of internal digital solutions and digital platforms to extend their audience and obviously, to do things like Townsquare Interactive and our Townsquare Ignite products. They also had just like Townsquare, as I noted earlier, I think Michael's question, they had strength in broadcast, where last year they were back to 2019 levels, if not above 2019 levels in broadcast, which, again, I think speaks to the fact that radio broadcasting and markets outside the top 50 is quite a different business than markets in the type 50. So they have great strength in broadcasting, but they lack those tools and platforms for digital. So that is the template. So what you'll see, and this is what we did when we acquired a few dozen markets from Cumulus and we've got a few markets from For the first 12 months we will actually invest quite a bit of dollars into these acquisitions. And that will be primarily the majority digital investments, new personnel, not only on the sales side, but on the content side. And then I think to your point, when will we see the transformation, which we've seen already in Townsquare, when will you see that with the Cherry Creek assets. I would say that's in a period of anywhere as early as 18 months to 36 months, 1.5 years to 3 years, you'll see quite an acceleration of their digital business with stability in their broadcast business, which is the template that in essence we've been running with Townsquare for the last few years. So couldn't be more excited. And as you also noted, I think we've telegraphed this on prior calls. I think we are the natural acquirer of radio stations outside the top 50. So I think as you look out into the future, we look forward to more opportunities if they fit that Cherry Creek strength and model because we couldn't be more excited about that acquisition right now.
Jim Goss: Okay. I think I'll let that and congratulations.
Bill Wilson: I appreciate it, Jim. Good to hear from you.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Bill Wilson for closing remarks.
Bill Wilson: Thank you, Laura, and thank you, everybody, for dialing in this morning. I appreciate you dialing in to listen to our record-setting results and our guidance for the full year. If you have any follow-up questions, please do not state to reach out. We are always available to you. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, the rest of your day.